Operator: Good morning, and welcome to Groupe ADP First Quarter 2025 Revenue Conference Call. Today’s call will be recorded. [Operator Instructions] I now hand over the call to Cecile Combeau, Head of Investor Relations. Please go ahead.
Cecile Combeau: Thank you, and good morning, everyone. Thank you for being with us this morning for our Q1 2025 revenue publication. I am here with Christelle Robillard, our new CFO, who will go through some prepared remarks before taking your questions. So one or two per analyst, please, to allow for a greater number of you to dialogue with Christelle, and you can always queue up again if you have additional topics you’d like to discuss. Before we start, I remind you that certain information to be discussed on today’s call is forward-looking and is subject to risks and uncertainties that could cause actual results to differ materially. For these, I refer you to the disclaimer statement included in our press release and on Slide 34 of our presentation. And with that, let me hand it over to Christelle.
Christelle Robillard: Thank you, Cecile, and good morning, everyone. I am pleased to be speaking with you today as the new CFO of Groupe ADP. Some of you may recall that this is actually a return for me, as I previously spent several years within the group before taking on other responsibilities. It’s an honor to rejoin ADP at such a pivotal time for the company, and I’m looking forward to working closely with the teams and with all of you as we continue to execute on our strategic priorities. Let me kick off this presentation with a few highlights from the quarter on Slide 3. You can see on the left side, the key operational indicators and revenue for the first quarter, which is reaching close to €1.5 billion, up 12.2% compared to Q1 2024. This is an encouraging start to the year, and we confirm our full year outlook. In terms of strategic progress, we launched the CDG&VOUS consultation of Paris-Charles de Gaulle airport, paving the way for the next economic regulation agreement, which remains on track for a year-end proposal. The new management structure is now in place, driving faster and more agile decision-making. We continue to actively manage our debt profile through bond issuance and repurchase operations closed at the beginning of March. Internationally, we secured the daily tariff revision for 2025-2029, opened entire new capacity extensions and completed the refinancing of the new concession, all strong steps supporting the group’s long-term positioning. Now a few words about the new general management around the Chairman and CEO to strengthen alignment and accelerate decision-making. It embodies our strategic priorities as we enter a new phase of development in Paris focused on decarbonization, operational excellence and quality of service. It also supports our economic model, combining a disciplined approach to external growth. This new structure recognizes the growing role of hospitality within the group and accompany a broader transformation in how we operate simpler and more agile. Moving on to Slide 5 with the latest Skytrax ranking. Eight airports of the group are now in the top 100 and Paris-CDG continues to be the best airport in Europe for the fourth year in a row. It’s the day-to-day commitment of our teams, their ability to innovate and reinvent themselves that enable our airports around the world to meet passenger expectations. This shows we have everything it takes to become a global reference in airport hospitality, and we are fully committed to this ambition. Reflecting this ambition, La Rue Parisienne was opened recently in Orly 4, serving international passengers with our Extime lifestyle offering. The area will include 6 new bars and restaurants by the end of the year as well as 8 additional shops planned for 2026 to keep growing our retail business going forward. In Turkey, Antalya Airport recently commissioned the first phase of capacity expansion in Antalya with a nominal capacity increased to 65 million passengers compared to 35 million previously. Antalya is among the most popular tourism destination in the Mediterranean basin, and this expansion will bring significant value. Moving on to Slide 9. With overall traffic evolution, group traffic is 6.7% higher than in Q1 2024 with stronger growth in international airports. In Paris, traffic evolved in line with our expectations, up 4.5% in Q1 2025, reflecting several elements. First one is a favorable base effect created by the 4-Flight air traffic management system, which led to reduction in flight schedules from January to February 2024. This is partially offset in 2025 by similar flight reductions, but to a lesser extent and also by the absence of a leap day compared with February 2024. Excluding these effects, traffic in Q1 2025 grew around 2.6% compared to Q1 2024. In addition, the traffic in the month of March was affected by 2 calendar effects, which are more difficult to quantify precisely. The month of Ramadan, which took place entirely in March this year, had an unfavorable impact on 2025 passenger traffic with certain destinations. This materialized into lower load factors. In contrast, the Easter period had boosted traffic in March 2024, resulting in an unfavorable base effect. All in all, traffic recorded so far and the known capacities are consistent with our traffic growth assumptions for 2025 between 2.5% and 4% compared to 2024. Let’s now move on to Slide 10 with a focus on Extime Paris spend per pax, reaching €33.4, up 2.2% versus Q1 2024. This 2% growth is very solid, considering the headwinds we are facing, including the rebasing effect linked to the reopening of Terminal 2AC since May 2024 and normalization of advertising activities after an outstanding year with the Olympics in 2024. Sales in shops, particularly in the luxury segment, keep growing steadily. Going forward, the current uncertain macroeconomic context leads us to keep an unchanged cautious stance, and we continue to expect spend per pax in 2025 to be 4% to 6% higher than in 2023. Moving on to Slide 11. Revenue reached €1.5 billion in Q1 2025, up plus 12% versus last year. Aviation revenue is up €33 million. The segment is growing plus 7%, reflecting the combination of traffic growth in Paris and the regulated tariff increase of plus 4.5% on average applied since April 2024. Keep also in mind that another plus 4.5% tariff increase applies from 1st April 2025. The Retail & Services revenue is growing €63 million, driven by solid growth in spend per pax and traffic and including a positive scope effect from the acquisition of P/S and Paris Experience Group in Q3 last year, but also reclassification of SDA Croatia into the segment. Real Estate revenue segment is up €7 million with new assets and rent indexation clauses. Abroad, TAV Airports is growing €57 million, up 18% compared to Q1 2024, boosted by price adjustment as well as helped by the new commercial areas in Almaty following the opening of extension last June. AIG revenue is up €13 million or 23%, showing signs of recovery in spite of the geopolitical context. This solid start to the year allows us to confirm our outlook. We continue to expect traffic in Paris to grow between 2.5% to 4% compared to 2024. We confirm as well our target to deliver at least 7% annual growth in EBITDA. Our CapEx guidance is maintained with investment expected to a maximum of €1.4 billion at group level, of which up to €1 billion in 2025 for ADP SA. Before opening the line for Q&A, let me say a few words about the progress made in Q1 on the front of our strategic projects in Paris. Starting with the CDG consultation launched in early April. Territorial dialogue is a priority for ADP. As we did last year for Orly, we launched a voluntary public consultation on our vision for the future of CDG Airport. This ambitious vision aims to meet evolving traffic demand while driving the sustainable transformation of the airport platform. It is structured around two time horizons, 10 and 25 years to ensure phased, scalable and decarbonized development. Built on 5 pillars from intermodality and infrastructure to cargo, energy and real estate, CDG 2050 set the pace for a flexible, inclusive and sustainable airport model. The consultation will run until the summer, and we will draw conclusions from this consultation by fall. Final word on the preparation of our next economic regulation agreement on Slide 15. We are fully on track to submit our proposal by year-end, and we are doing so with confidence and momentum. The regulatory environment is now much clear. The authorized level of regulated WACC estimated by the regulator is directionally going up. Two legal changes, one implemented last year and one to be enacted very soon are game changers. Tariff moderation is now to be assessed over the full period of the ERA, not year-by-year. And the bill provides that an ERA itself could run up to 10 years, giving us the visibility we need for our industrial project. The only remaining milestone is the cost allocation review, and it will be concluded as part of the next tariff approval process. On our side, we are preparing an ERA designed to meet the expectation of all stakeholders. We are shaping it as a balanced forward-looking framework and we are doing it with determination and a clear long-term vision. And with that, let’s open the line for the Q&A.
Operator: Thank you. [Operator Instructions] We’ll take our first question from Graham Hunt of Jefferies. Your line is open. Please go ahead.
Graham Hunt: Yes, thanks. I’ll just have two. Thank you. First one, just on the U.S. or transatlantic travel and really, I guess, talking about anything you’ve seen in the early phases of Q2 as to any weakening in volumes there or any flow-through impact to your retail business. So any kind of color you can give on what you’re seeing day-to-day on that would be helpful? And then second question is just around the new management structure and the comment you made about, I think, if I heard correctly, reflecting the weight of retail in the business. Just interested to know specifically what that means. And what the new management structure is looking to address or improve, if there is anything tangible that you can speak to that you’re targeting with this new structure or hoping to see improvement of – through this new structure? Thank you.
Christelle Robillard: Yes. Thank you, Graham. So, regarding your first question in terms of the impact of the situation in the U.S., maybe, first of all, it’s important to bear in mind that there are cyclical ups and downs and structural changes. For the moment, it’s a little bit early to know if we are in something conjunctural or structural. And we will, of course, monitor this situation. Maybe also just to give you some figures about the weight of U.S. in our metrics, so traffic with the U.S. is 8.6% of the total Parisian traffic at Paris level. And in terms of sales, it represents a double-digit share of the total sales in Paris. Having said that, clearly, for the moment, we are not seeing any major impact. Capacities are increasing. And when we discuss with airlines, we haven’t noticed that there could be some cancellation in the months to come. As always, the summer season will be decisive from that perspective, but clearly, for the moment, no impact. The figures in the beginning of April are quite good. So that’s why we are quite confident and we have – we confirmed our guidance in terms of traffic, as I mentioned earlier on. Of course, we will monitor the situation in terms of impact on the traffic, load factor, but also, as you mentioned in your question, in terms of SPP. Regarding also the specification in terms of SPP, it’s a little bit also too early to quantify. For the moment, as you saw in our figures, our performance is solid. But from that perspective also, we will continue to monitor the situation. But all in all, we can, at this stage, confirm our guidance. Regarding your second question in terms of management structure. So indeed, it was a quick decision after the appointment of Philippe Pascal as Chairman and CEO to have an organization which reflects our group’s strategic priorities. And from that perspective, our strategic priorities, you know them. Philippe Pascal explained them when he was appointed the development in Paris. And so this is reflected by the VP Executive in terms of operation in Paris, but also, as you know, the Retail segment with Mathieu Daubert, who is also now VP Executive for the retail activities. It’s a key contributor to the financial performance of the group. And finally, as for myself you saw that I am now in charge of Finance and Development. And it’s also consistent with our strategy to have a disciplined approach on M&A and to really scrutinize the projects through their financial contribution to the group.
Graham Hunt: Thank you very much.
Operator: Thank you. We’ll now take our next question from Elodie Rall of JPMorgan. Your line is open. Please go ahead.
Elodie Rall: Hi, good morning Cecile. Thanks for taking my questions. So my first question is on the ERA, so the regulatory agreement to come. I understand that having a 10-year agreement gives you visibility. But I was wondering how can ADP be protected during this 10-year period in the event of a big downturn if traffic is a lot worse than expected. Isn’t 10-year kind of risky in order to manage the traffic risk or would you have any way to get some compensation in case of much lower traffic risk than expected? That’s my first question. And my second question is on TAV. I was wondering if you can give us a bit more insight on the performance there because traffic was below what we were looking for, but revenues were above. And I think it’s because of your – of the services businesses. So is this indicative of performance going forward? Should we expect better growth from Q2 with Ramadan effect on traffic being removed? Thanks.
Christelle Robillard: Yes. Thank you, Elodie, for those two questions. So regarding the first one, in terms of the duration of the ERA, so indeed, as you saw, there was a recent bill that enable to extend the duration of an ERA up to 10 years, if the industrial project justifies it. Clearly, we think that the industrial project of ADP will justify to extend the duration of the ERA. Maybe just to remind you why we consider that it will be benefit positive for the group. First of all, it’s clearly more consistent with our industrial road map. We disclosed our true target vision for Orly and within the framework of the public consultation. And clearly, this is a long industrial vision. So having 10 years is consistent with this project. It will also avoid to have investment disruption, and this is all the more true as we are now in a context where we need to have environmental approvals, so – which can take long and can lead to postpone a little bit sometimes some projects. So having the possibility to avoid this investment disruption is also a very positive factor for us. For the airlines, it will also enable them to have greater predictability and for us to have a better management of our profitability. Having said that, indeed, it’s very relevant to make sure that we are protected enough on those long period of time. And for that, we are quite confident. First of all, in case of a very strong economic appeal, there will still be the possibility like force majeure clause in every type of contract to have a termination of the economic regulation agreement. Remember, it was the case previously because of COVID. So this is the first step of protection. Secondly, we intend to integrate in the Economic Regulation Agreement on clauses with adjustment factor. This is also what was done previously in ERA 2 or 3 to have a kind of range around the traffic up or below which we can adjust the tariff with bonus or minus adjustment. And maybe third element of protection, the bill itself foreseen that there will be a rendezvous clause at the fourth year with a specific consultation of airline and review by the regulator to see if conditions have materially differed from what was previously anticipated. Regarding your second question in terms of financial performance for TAV, so in the first quarter, we had strong operation with 18% revenue growth. significantly above traffic growth, which was boosted indeed by price adjustment, commercial basket size growth, new commercial areas in Almaty, as I mentioned in the presentation, and the new TAV technology project in Qatar. EBITDA growth was in line with passenger growth at 5%. The margin dilution of the new TAV Tech project, one-off gains, which has boosted EBITDA last year, and Turkish lira inflation were the main factor in the low season for the differential between EBITDA growth and revenue growth percentages. But all in all, TAV has confirmed its guidance for 2025.
Elodie Rall: Great. Thanks very much.
Operator: Thank you. We’ll now take our next question from Cristian Nedelcu of UBS. The line is open. Please go ahead.
Cristian Nedelcu: Hi, thank you very much. Maybe adding a question on the regulatory – on the 10-year regulatory period, what do you believe is an appropriate regulated WACC to reflect the longer duration regulatory period? Is the 6.3% or around 6.3% that you’ve published in the past, is that the appropriate one? Do you think it should be higher? And equally so, could you elaborate a bit around the inflation risk protection over a 10-year framework? So what are your plans there? The second one, as you have advanced through the CapEx consultation, could you help us understand what is the maximum annual CapEx that ADP can incur in Paris in any given year, regulated and non-regulated? I was looking at the past ERA, it was around €1.3 billion, the regulated CapEx, the peak regulated CapEx that you are planning for 2024, 5, 6 years ago. Is that type of level appropriate still? And in this context, your 60% dividend payout ratio is that set in stone on the mid-term indifferent of the size of the CapEx program under the new era or that will be under discussion?
Christelle Robillard: Thank you, Cristian, for those questions. So starting with the question on the 10 years duration of the ERA and the impact of WACC. Clearly, in the last decision of the regulator, he mentioned some elements that were, by the way, quite positive for us and that we consider as a progress regarding the WACC. They mentioned a range. So for the 2025 tariff approval between 4.1% to 5.6%, so an average of 4.8%. But clearly, they mentioned also that when you are in a multiyear agreement, it needs to be in the upper part of this range. So clearly, when we are in an economic regulation, we expect to be in the higher part of this range. And when the decision was issued at that time, there was not the possibility in the law to go up to 10 years. So that should also be a positive element to try to go higher. It’s still below our own internal estimates. Maybe remember that for the 2025 tariff appraisal, our own estimation was 6.3%. But clearly, the gap is narrowing between regulator estimation and our own estimation. Regarding the inflation risk protection, I think the kind of protection we can have is exactly the same that I mentioned previously for Elodie question. In a case where there would be really significant inflation that could be considered as an economic appeal in this case, maybe we would even argue for a termination. In a case, I would say, a more normal case, we will have some clauses integrated in the agreement to have some factor adjustment and to be able, indeed, to react and adjust the initial forecast. And once again, third element, we have in the law itself, this rendezvous clause at the fourth year foreseen in the law. Regarding the CapEx, so you’re asking what could be the maximum in Paris for the regulated and non-regulated. It’s clearly too early to give you a proper figure on the CapEx level we could have in this area. We have shared our target vision, both for Paris Orly and Paris CDG. But clearly, it’s no commitment in these figures. It is no threshold, no maximum. It’s just indicative and it will make sense to communicate on a level of CapEx within a global overall picture. We need clearly to have an overall economic balance. And to be able to communicate on CapEx, we also need to see what is the level of tariff and referring to your first question, the level of WACC? This is the all economic balance, CapEx, tariff, WACC. So for the moment, it will be too early to tell you what could be this amount. The CapEx amount contained in the industrial vision presented during the public consultation once again, are no commitment. So clearly keep this in mind. I know it’s a little bit difficult for you to model, but we really encourage you at the moment not to model something based on what you have seen in the different consultation. And sorry, last question, so regarding the payout and dividend. Here also, it’s a little bit early to give a proper figure. It’s really a question of capital allocation policy between CapEx and investment. And once again, you see that we have in [Technical Difficulty] in Paris in the year to come. But the capital allocation policy also concerned dividend and deleveraging. We will, of course intend to have a balanced approach between these three elements. And I hope that we will be in a position to give you more color in due course once we have also this clear picture on CapEx and the economic balance of the Economic Regulation Agreement.
Cristian Nedelcu: Thank you very much.
Operator: Thank you. We will now take our next question from Andrew Lobbenberg of Barclays. Your line is open. Please go ahead.
Andrew Lobbenberg: Hi there, and Christelle, welcome to the role and congratulations. Can I come back on the ERA as well? In the recent years, the regulator was toying with and discussing til structures. I think that discussion is dead and buried, but could you confirm that? But equally, you referred to the ongoing cost allocation review, which continues. And in a way, that is a sort of Trojan horse for a til adjustment, I think. So, can you give us any color? I appreciate the things ongoing, but what the scale is, what the quantum of risk is potentially to you guys from the cost allocation review? And then my second question would relate to the theme that Philippe discussed at the full year results about trying to get cash, get dividends out of your major subsidiaries, out of GMR and out of TAV. Given that both these businesses remain rather highly leveraged, what is the timeline to get cash into ADP out of these businesses? And how do you influence these factors given that you don’t have complete control at GMR or indeed complete control at TAV either?
Christelle Robillard: Thanks a lot, Andrew, and thanks for your congratulations. So, regarding your first question, I think there are two elements in your question regarding the deal structure. So, maybe just to precise that the til structure is not decided by the regulator. It’s something regulatory, not exactly in the law, but it’s reglementary and it’s not decided by the regulator. But regarding this element, so far to our knowledge, it’s not on the agenda to change this. So, we are confident on the fact that the til structure will remain unchanged. There was a change recently, but it was for regional airports. We were not concerned by these changes. But on the contrary, indeed regarding cost allocation, it’s clearly a topic that is in the aim of the regulator. They mentioned quite – they were highlighting in their last tariff decision, some elements regarding cost allocation. They asked from that regard two elements. First of all, they requested to resume the consultation with airlines. Maybe you remember that in 2023, we made a huge work with airlines, and we created some workshops on the key allocation during which we reviewed every key, key by ART, so it’s really a long work. And the regulator encouraged us in his last decision to resume this workshop. So, that’s what we have did and we launched some workshop last March. So, this is the first element. Second element, they mentioned some request around surveys and audit, surveys to try to objectivize more, some keys. For instance, the key to allocate the passenger in [indiscernible], for that, we are conducting some survey and they ask us to update the survey. So, here again, this is a work-in-progress from our side. And also to have some audit to have third-party that audit our allocation system. So, here again, we are working and its work in progress. So, as you can see, all-in-all, it’s more a question of process rather than a question of allocation per se. We will have on this element, so there is, as you may remember, a transitory period until the end of the year. So, we will know if what we are proposing is compliant with ART because they will assess the compliance within the 2026 decision process. But all-in-all, we are quite confident that there won’t be major change from that perspective. Second question regarding dividend, so indeed as Philippe Pascal mentioned, it’s really a key matter and a strategic priority for us to securize the financial contribution of our international assets. And from that point of view, both TAV and GMR, we are on a different timing for TAV and GMR even if in both case, it’s a question of capital allocation also. But regarding TAV, the Board of Directors maybe, as you saw in our disclosure yesterday night, intend to propose a dividend out of 2025 full year net income. So, this should be a topic really in the short-term. Once again, on the question of dividend payment is a question about capital allocation. Therefore, the payout at the end of the day will be considered in view of CapEx, debt and other financing needs to prepare the future of the company. And just maybe to remind you that historically, the payout of TAV was 50%, so this is for TAV. Regarding GMR, indeed, as you know, it’s not something new. Our priority is to deleverage the company. GMR went through over the past few years, heavy CapEx phases. Our objective is to reduce indebtedness with the combination of cash inflow increase with activity with lighter capital needs. It would be also possible to have a look at minority stake monetization to receive some cash at GAL level. Both partners, ADP and our co-shareholder, we are fully aligned on this strategy. And our common goal would be that GMR Airport is in a position to deliver positive free cash flow to equity at the holding level towards the end of the decade. So, no change compared to what Philippe mentioned during the annual results. Maybe one supplementary element, GMR has indicated that Hyderabad should pay dividends to its shareholders at the end of the financial year, subject to Board approval.
Andrew Lobbenberg: Thank you.
Operator: Thank you. We will take our next question from Dario Maglione of BNP Paribas Exane. Your line is open. Please go ahead.
Dario Maglione: Hi. Good morning. Two questions from me. One, more high level in terms of risk to the corporate tax in France or increase in concession tax, what is your – what is the current status, where – how much should we worry about this risk going forward? And then sorry to come back on the CapEx. Unfortunately, it’s quite difficult for us not to model what we read in the press. But regarding this consultation with Charles de Gaulle, on Charles de Gaulle, on the press read CapEx could be between €3.5 billion and €4.5 billion until 2035 to expand the airport. Could CapEx be materially different from this level, or there is a reasonable range? Thanks.
Christelle Robillard: Thank you, Dario, for your question. So, regarding taxes, clearly to be transparent, there is always a risk because the government always has the possibility to include something in the law. But maybe just to remind you what we already went through over the past few months, so there was a new infrastructure tax introduced at the beginning of 2024 for an amount of €130 million to €140 million per year. On that, for that tax, we consider that we have now fully offset the regulated impact of the tax through tariff increase made both in 2024 and in 2025. Second item, the temporary income tax increase, which was introduced by the French Finance Act for 2025, but it was introduced for 2025 financial year only. So, when you look strictly at the current law, it’s a temporary contribution that will represent an impact for us from €110 million to €120 million. So, even if the tax in the Finance Act for 2025 is defined as temporary, nothing at the end of the day prevents the government from introducing a similar surplus in the finance bill for 2026. But to our knowledge, it’s not the case for the moment. Third element in terms of tax, it was the funding of security activities. You also know that until 2024, the French state covered 94% of the security cost borne by ADP. The recent Finance Act provides that this coverage drops to 92%. It represents an impact, and just to remind you some figure of €12 million on a full year basis for us. And then the third – the fourth element in terms of tax is related to aviation tax. This tax is borne by the airlines, so hence impacting ADP only indirectly. For the moment, the first impact in terms of traffic relates more to regional airports and small airlines. As for us, we haven’t seen any impact in terms of demand, and we continue to see strong demand for aviation. So, all-in-all, there were already over the past few months, major changes implemented by the government. It’s still a possibility for them to implement additional measures, but nothing to our knowledge so far. Regarding your second question in terms of CapEx consultation, so indeed, we have launched the consultation in CDG quite recently. There was a figure disclosed the one that you mentioned. Once again, the consultation gives a vision target. But this vision is very important that you keep in mind that this vision is modular and feasible, so that means that we can adapt the pace of the investment. And clearly, can there be material changes, that was your question, yes, there can be because the level of CapEx will necessarily be adapted depending on the level of tariff and the level of WACC, we are able to have in the – it’s in the discussion. It’s a total global balance – economic balance. It’s an equation. So, at the end of the day, yes, if we don’t have a favorable tariff increase or a favorable WACC, yes, this amount can change. And also in the modularity system, the positive element for us is that we are able to adapt the pace of investment depending on the pace of business. So, we are able to accelerate or slowdown those investments depending on the level of traffic. This is really the key difference with the previous project of Terminal 4. We are here in a modular and sizable project.
Dario Maglione: Okay. Thank you, Christelle. Good luck.
Christelle Robillard: Thank you.
Operator: Thank you. We will take our next question from José Manuel Arroyas of Santander. Your line is open. Please go ahead.
José Manuel Arroyas: Good morning. First of all, congratulations, Christelle, I am afraid I have an accounting question. I am having issue reconciling the like-for-like performance of the retail segment. And I need a bit of your patience. Correct me if I am wrong, there are three reclassifications since the Q4 last year. First, we had the addition of SDA Croatia. Second, we had the addition of PS and Paris Experience Group. I think both are relatively straightforward and very clearly disclosed in the materials. But I am having issue with the other reclassification. There is the other income line in the segment. Some revenues have been moved to the others hospitality and retail revenue. And I don’t know what the value of that reclassification is. I am not – I don’t think this is disclosed. And more importantly, I wanted to ask you for the substance of this reclassification. Is this revenue that has been reclassified from the other income a regulated income stream or non-regulated income stream, it’s – I think it matters in order for us to put a value on the revenue, EBITDA and free cash flow that may come from this reclassification. Thank you so much and sorry for the accounting question.
Christelle Robillard: Maybe I can let Cecile answer to your question.
Cecile Combeau: Hi José. This is something that we will have to check and get back to you in the second step more precisely, I am afraid. Yes. I am sorry, this is a frustrating answer for you.
Operator: We will now take our next question from Ashish Khetan of Citigroup. Your line is open. Please go ahead.
Ashish Khetan: Hello everyone. Thanks for taking my question. I have two questions. One is your – on the EBITDA outlook growth of more than 7% this year. So, just wanted to understand that in this outlook, what contribution have you factored in from TAV given that the TAV EBITDA outlook range is quite broad between €520 million to €590 million. And the second is, what are the major headwinds you expect in the Extime sales per pax growth for the rest of the year, given that it is already ahead of the outlook provided for the year?
Christelle Robillard: Maybe Cecile, you can take the first one in terms of EBITDA, and I will take the second one.
Cecile Combeau: Yes, go ahead and start with the…
Christelle Robillard: So, the second one, if I am not mistaken, was regarding the SPP guidance?
Ashish Khetan: Yes, right.
Christelle Robillard: Yes. So, indeed, SPP guidance, so as you saw, we posted a very strong performance at the end of Q1, so €33.4 per pax. This is clearly a very good start to the year. All the more, as you know, that we were facing some headwinds with the full year effects of the reopening of Terminal 2AC, the work in Terminal 2EK, but we have managed to mitigate those headwinds, especially with pop-up stores, which have contributed also to this performance. All-in-all, despite those positive elements, we have considered that it was not appropriate to revise the guidance. So, the spend per pax for 2025 is still expected between €31.8 to €32.4 per pax because of two elements. First of all, it’s just the first quarter, so a little bit early in the year to draw a conclusion. And all the more second element, as we are in an uncertain macroeconomic context, as I mentioned during the first part of this call regarding the U.S. macroeconomic and the impact it could have on SPP. So, even if at the moment, once again, there is no signal of negative impact of the current situation. We have considered that it was better to stay cautious regarding our SPP guidance that has already been upgraded, I remind you, at the beginning of the year.
Cecile Combeau: And so your question, I am afraid, can you please repeat it? I did not get it. I think it was an accounting and detailed numbers question.
Ashish Khetan: Sure. It was on the EBITDA outlook. So, you have growth outlook of more than 7% for ADP. So, just wanted to understand what is factored in that guidance on – for TAV, given that TAV has a broad outlook of €520 million to €590 million? So, can you provide some color on that, yes?
Cecile Combeau: Thank you. So, first, maybe first item to keep in mind is the fact that this EBITDA guidance is at constant scope, meaning that the contribution of the newly acquired companies, PS and PEG are not included in this guidance. You also have in mind the one-off items that impacted the basis of comparison in 2024. And then regarding TAV, well, the broad guidance that they have given is also perfectly commensurate with our own guidance, so no specific new message around here.
Ashish Khetan: Okay. Thank you. Thank you so much.
Operator: We will now take our next question, a follow-up from Cristian Nedelcu of UBS. Your line is open. Please go ahead.
Cristian Nedelcu: Hi. Thank you very much for allowing me to follow-up. From the beginning of the year, the euro appreciated versus the dollar or the renminbi by around 10%. Just looking at the long history, could you tell us what’s the ballpark rule of thumb when the euro appreciates in that range? What’s the headwind to retail spend per pax? I am having in mind U.S. and China, I believe the two nationalities with the highest spend – highest retail spend in France. And secondly, just coming back on extracting more cash from TAV and GMR, now getting the dividend from TAV definitely should help, but how should we think about the Antalya stopping temporarily the dividends paid to TAV in ‘27 and ‘28. And I believe they are getting somewhere around €80 million to €100 million per year, and they are fully consolidated in your accounts. So, aren’t these two elements offset each other, 2027, 2028, or am I missing anything here? Thank you.
Christelle Robillard: Yes. Thank you, Cristian. So, maybe beginning with your second question regarding Antalya, so indeed the financial performance was necessarily and mechanically affected by the important phases of investment that they went through over the last few years. So as you saw, and as I presented, the new capacity expansion have been opened very recently. So, it has an impact on the financial performance. But it’s not a fully integrated company. It’s – we are in a joint venture with Fraport, and it’s an equity accounted subsidiary for TAV. Regarding your first question in terms of FX change, so clearly, yes, indeed, there has been some variation recently in terms of FX range. It’s a little bit complicated to give you a specific correlation and sensitivity on the FX impact on the spend per pax. Once again, it’s something we are going to monitor. For the moment, we haven’t seen any impact on. You saw our strong performance at the end of the period. Maybe let me just remind you also in terms of FX rate because it’s an important element in our accounts regarding TAV also because we are thinking often of the FX rates at the Paris level for the SPP, but there is also some positive impact of the depreciation of the Turkish lira compared to the U.S. – compared to the dollar, sorry. And as you know and you know the mechanic, one-third of revenues of TAV are linked to the dollar-linked currency, one-third euro, so our currency, two-third linked to our currency. But at the same time, most of the OpEx basis is in Turkish lira. So, the depreciation of the Turkish lira compared to the dollar, all-in-all, lead to a positive impact. So, even if it was not exactly your question, I think it was important highlighting. So, you have in mind also that there can be a positive element.
Cristian Nedelcu: Thank you very much. That’s very helpful. And apologies, just if I look at the two acquisitions in retail, and please correct me if I am wrong, but I think there were – that was €40 million – roughly around €40 million of revenue contribution in Q1. Could you extrapolate that for the full year? So is that a €200 million revenue for the full year and the EBITDA margin should be 20%, 30%? Could you give us any color directionally how we should think about the contribution on EBITDA and revenue for the full year? Thank you.
Christelle Robillard: Yes. So, just to give you some numbers. So, when we integrate our two acquisitions made at the end of last year, so Paris Experience Group and PS. So, in 2023, the total revenues for those two entities amounted to €150 million. As we said, I think it’s not a new message here also, but the contribution of those entities will be relutive on EPS, but in the mid-term. What is really important, so we are in a ramp-up phases. And what’s really important, it’s not to have a look just at the standalone financial performance of those two entities, but to see more broadly and more largely the contribution it can – those entities will have also on the SPP. Indeed, the strategic rationale also for those acquisitions was to benefit from the customer basis of those entities to bring some very high-level contributive passenger inside our terminals. So, at the end of the day which can have a positive impact on the SPP. So, having just a look at the standalone performance of these entities wouldn’t be sufficient to understand the overall contribution of those entities on our global performance.
Cristian Nedelcu: Thanks very much/
Operator: Thank you. That was our last question. I will now hand it back to Cecile Combeau for closing remarks. Thank you.
Cecile Combeau: Okay. Thank you. This brings indeed our presentation to a close. So, thank you all for joining us today. Of course, we will continue to dialogue with you, analysts and investors in the coming weeks through road shows and conferences. A quick reminder, our Annual General Meeting will take place on the 15th of May, and our first half results will be published on the 30th of July. And we look forward to seeing many of you soon. And of course, don’t hesitate to reach out to Eliott or myself for any follow-up questions. Thank you again and have a great day.
Operator: Thank you. This concludes today’s call. Thank you for your participation. You may now disconnect.